Kevin Miller: Good morning, and thank you for joining us. This is Kevin Miller, Chief Financial Officer of RCM Technologies. I am joined today by Brad Vizi, RCM's Executive Chairman. Our presentation in this call will contain forward-looking statements. The information contained in the forward-looking statements is based on our beliefs, estimates and assumptions and information currently available to us. And these matters materially change in the future. Many of these beliefs, estimates and assumptions are subject to rapid changes.  For more information on our forward-looking statements and the risks, uncertainties and other factors to which they are subject, please see the periodic reports on Forms 10-K, 10-Q an 8-K that we file with the SEC, as well as our press releases that we issue from time to time. I will now turn the call over to Brad Vizi, Executive Chairman, to provide an overview of RCM's operating performance during the third quarter.
Bradley Vizi: Thanks, Kevin. Good morning, everyone. RCM delivered continued strong performance in our seasonally weak third quarter. I am proud of the team's execution. Our results demonstrate the leverability of our RCM's business model driven by our unwavering commitment to delivering value for our world-class client base. During the quarter, strong performance was demonstrated across each division. Our Life Sciences and IT group bolstered its RPO offering with the addition of talent I will speak about acquisition in a moment. Turning to our Engineering team. Each of our business units delivered solid performance, and I'm excited about the traction we are gaining across several new business initiatives. Lastly, our health care service expand its presence across the K-12 end market with the addition of several strategic accounts. Kevin will cover our financial performance in more detail but I want to share several financial and operational highlights from the quarter. RCM generated third quarter revenue of $58 million, a 28% increase year-over-year after adjusting for the Power Systems Canada sale. As for profitability, RCM generated adjusted EBITDA of $4.8 million in Q3, representing growth of approximately 162% on a year-over-year basis. On the operational front, there were several highlights worth calling out in more detail. First, as previously mentioned, our Life Sciences and IT Group recently acquired TalentHerder, a leading talent services acquisition company. TalentHerder will bolster RCM's existing RPO capabilities by expanding candidate reach, extending alternative service models to our current base, and providing proven methods to new clients, responding to a changing employment landscape at incredibly competitive rates. TalentHerder's proven recruitment processes can help scale both in-person and remote working environments for companies across the globe. We are excited about the growth opportunities TalentHerder presents to our clients and staff.  Over the near term, the focus remains on the seamless integration of the TalentHerder team. We are integrating the recruiting groups in addition to gaining leverage from our acquired offshore sourcing staff, and we have already identified several new opportunities through our joint sales efforts. I look forward to sharing more updates on our progress in future calls. On the unit front [ph] I'm excited to announce the grand opening of our Innovation Center of Thermokinetics. The implementation of this state-of-the-art facility complements our team's existing equipment capabilities and enables our engineers to develop new processes alongside our customers. For many process applications, the ability to run a small scale version of the system yields the required empirical data to design and derisk the process successfully.  This go-to-market approach will be essential as we scale up initiatives across select emerging technologies in which we have the necessary expertise, including sustainable aviation fuels with an estimated $40 billion to $50 billion in SAF investment planned through 2025, and a further $1 trillion required by 2040, we believe there will be robust demand for identifying ways to scale supply cost effectively. Our test center has a stragic role to play, and it will be a powerful tool as we position ourselves to become a go-to partner for clients looking to scale emerging process technologies in the future. Pivoting to our Healthcare Services Group, the team continues to excel amidst the ever-changing healthcare landscape. The industry's issues are structural and will not be solved over the near term. COVID-19 has caused many healthcare professionals in the U.S. to reconsider their plans. For example, in a recent survey by Mackenzie, 29% of RNs in the U.S. said they were likely to leave their current role in direct patient care. Many respondents indicated they were considering leaving the workforce entirely.  The bottom line, the U.S. health sector is facing a substantial talent shortfall with several studies estimating that by 2025, there may be a supply-demand imbalance of 200,000 to 450,000 nurses. We have the expertise to help close this gap for our clients as it will require a combination of innovation and robust execution that comes from decades of service that committed to this end market. Thankfully, these are two of RCM's healthcare's greatest attributes. We believe RCM Healthcare will play an important role in addressing the structural deficiency, most prominently in our core education end market where our experience and scale is unrivaled. Our team is leveraging technology to take a more analytical, data-driven approach to resource allocation. This gocuas has enable us to engage with our clients more strategically by providing tailored holistic solutions according to their needs as opposed to the non-scalable practices of yesteryear that focused on placement on an ad-hoc basis. We are confident this model will lead to a more sustained value creation for our customers and a more defensible economic moat for RCM. Finally, I would like to take a minute to express appreciation to our shareholders on behalf of RCM and its employees. I have spent nearly my entire career helping publicly-traded companies realize their potential. I cannot recall a more supportive, constructively-engaged group. I know a substantial portion of you are long-term shareholders, more than one third of which are current and prior RCM employees.  Your support is one of many weighted assets at RCM. Your commitment has allowed us to retire over 25% of the company's shares outstanding since the summer of 2020 while investing heavily in the company's future. We are committed to further rewarding your support with a scalable platform and clean balance sheet to compound value to all stakeholders for years to come. In closing, as our clients grapple with the realities of scaling their businesses and talents to our increasingly technology-driven world, our cross-functional capabilities and technical expertise have positioned RCM as the de facto platform of choice with searching for solutions. I remain optimistic about the company's future as we have many exciting initiatives underway. I will now turn the call back to Kevin to discuss the Q3 2022 financial results in more detail.
Kevin Miller: Thank you, Brad. Regarding our consolidated results, revenue for the third quarter was $58.2 million, growing by $12. 7 million year-over-year basis. Adjusted EBITDA in Q3 2022 was $4.8 million, representing an approximately $3 million increase on a year-over-year basis. RCM generated gross profit of $17. 4 million during the quarter, a 42.1 year-over-year increase. Turning to our Healthcare segment. The group generated revenue of $28 million in Q3 2022, which represents a 43% increase year-over-year. The team continues to make great progress within the K-12 market and has expanded its footprint with the onboarding of several new accountings across behavioral health remain robust, and the team is positioned to take advantage. Turning to our Life Sciences and Information Technology segment. As Brad mentioned, the team's integration efforts regarding the TalentHerder acquisition are going very well, and the execution across each of the remaining practice groups has not missed a beat. In terms of revenue, we generated $9.2 million in Q2 2022, which is essentially flat with Q3 '21. From a profitability standpoint, the group's gross margin profile increased by 200 basis points as the team transition the business model to more leverage or well managed service contract profile. And finally, regarding our Engineering segment. After adjusting for the sale of our Canada Power Systems office in Q3 '21, our Engineering Q3 '22 revenues $9 million grew by 31% as compared to adjusted Q3 '21 Engineering revenue of $16 million. The performance was broad-based across each of the divisions, and the team is doing an excellent job of expanding into adjacent service offerings that leverage each skill sets. As we migrate through the fourth quarter, we remain confident that we will finish the year strong and enter 2023 in stride. We are in a strong position financially to be opportunistic across each of our segments and we are excited about 2023 as our teams continue to execute throughout the organization. This concludes our prepared remarks. At this time, we will open the call for questions.
Operator: [Operator Instructions] And first off, it looks like we had Bill Sutherland of Benchmark Company. Your line is now open. 
William Sutherland : Good morning, guys. A couple of questions on healthcare. Kevin, what was the mix between education and --
Kevin Miller: Let's see. I should have that in front of me, but I don't. So I want to get it for you as you --
William Sutherland : While you're looking, for Brad, I was thinking about your comment about healthcare and leveraging technology for the clients. Can you give us a little color on what's involved there?
Bradley Vizi : Yeah. So the first wave of our investment is going to be focused upon driving connectivity of our recruitment resources. As you've probably read, though, I know you follow the industry pretty closely. There's no shortage of needs out there, really. It's just a matter of making sure you're able to connect the dots between the resources that are out there and the needs that exist. So inevitably, we think that driving productivity of our recruitment resources could potentially unlock quite a bit of upside for us.
Kevin Miller: So Bill, just to answer your first question, our school revenue was $16.6 million, and our non-school revenue was $10.4 million.
William Sutherland : And the seasonality played out about as you expected, Kevin?
Kevin Miller: Pretty much, yes.
William Sutherland : Okay. The gross margin, was that a mix benefit? It was strong in Healthcare.
Kevin Miller: Yeah. It's a couple of things. It's mix. It's a robust market, robust demand. It's -- if you sort of look out to the future, I would tell you that Q3 is probably a little bit eyesight compared to what we probably expect long-term, but not substantially higher than what we expect.
William Sutherland: Okay. And then I guess, last. Brad, as you look at your opportunities for capital deployment, do you rank order? Or is it -- or just tell me how you're thinking about that?
Bradley Vizi : Well, I would normally refer to our stock response. But when you look at the earnings power of the business and where the stock is trading, you could probably guess what is towards the top of the rank order. But look, I mean, there's -- we've been pretty judicious in our so. The good news is we have multiple teams. We have a very high level of confidence on our side to put capital behind, so we're at a point where there isn't a shortage of opportunities for which turns against to deploy capital. So where ultimately it ends up, whether it be in the foremost organic investment, bolt-on acquisitions or share buybacks, again, this is something that we review regularly and can change very quickly. But we're in a good spot with what we believe is a healthy earnings power, a clean balance sheet, and again, a very talented group of individuals to get behind.
William Sutherland : Actually I meant to ask, did you guys provide any detail on TalentHerder in terms of the financial impact? 
Kevin Miller: We have not. There is an 8-K filing on it.
William Sutherland: Yeah. All right. Thanks, guys. Appreciate it. 
Operator: All right. Next up, we have Alex Rygiel of B. Riley. Your line is now open. 
Bradley Vizi : Hey Alex. 
Alexander Rygiel : Good morning, guys. Very nice quarter. Following up on that TalentHerder question, I did notice in the 8-K that you paid, I think, around $4 million in cash for that acquisition. Can you talk a little bit about maybe what the revenue contribution could be? If not, maybe talk about what your traditional acquisition purchase multiples generally are targeted in a range of?
Kevin Miller: So if you want to talk about multiples, I would say somewhere between 4 times and 8 times is a typical range for us. When we do deals, if someone's getting to 8x, it's probably because they're performing really well for -- during the earnout period, so we're happy to pay 8x if we can deliver outstanding performance.  We focus on have sort of a low floor in terms of performance post closing, but also potentially have some good synergies, and we can really drive a lot of growth. In the case of TalentHerder, it's a really good fit for us in terms of what we're seeing in the market and mapping that against the outstanding team that we acquired.
Alexander Rygiel : And when you think about TalentHerder, can you talk a little bit about sort of the revenue growth expectations that you -- or opportunity that you see over the next couple of years? And what the margin profile of that business is compared to yours?
Kevin Miller: Well, the margin profile is quite high. You're probably looking at maybe 30% operating margin on that business, which is pretty typical in the RPO space, so it certainly will be accretive to our margins. But this is something -- we're small players in the RPO business today, but we have tremendous aspirations in terms of being a major player in that space. We think the team that we brought on has the capability to really combined with RCM resources and our sales team. And everything that we bring to the table. We believe we can become a fairly prominent player in that space over time.
Alexander Rygiel : That's great. And then, Brad, you mentioned in the Healthcare space and several new strategic accounts. Can you expand upon that a bit?
Bradley Vizi : Yeah, so I would think of them as being in our core education end market, really, as we continue to diversify that base. And importantly is there are accounts that we think that in aggregate, are certainly accretive over the near term but have opportunities to grow materially from where they are today. So really, our K-12 initiative is really starting to gain its footing and we're really starting to build our presence throughout the country.
Kevin Miller: Yeah. I would say, Alex, if you compare our school business to say, 3 or 4 years ago, we have tripled the number of clients easily today. And we feel like we have just a lot of momentum to add a lot more. In addition to the bricks-and-mortar schools, we're also making some pretty good inroads with some large virtual school systems as well, which is really exciting because we can service those schools from anywhere in the country. We don't -- we're not restricted to finding regional talent where the schools are. We can have somebody in Idaho providing services for a virtual school. Yeah. So we're really excited about expanding that. And we think that portion of the business is still a little small today, but it has each potential to grow really fast.
Alexander Rygiel : And then lastly, the revenue in the health care business was up 42% year-over-year. What dynamics are at play that would either increase or decrease that number in the fourth quarter?
Kevin Miller: In terms of the fourth quarter versus the third quarter?
Alexander Rygiel : Fourth quarter this year versus fourth quarter of last year. 
Kevin Miller: Sure. Well, the major dynamic is the demand is still off the charts. I mean, the demand for our services is fantastic, right? We have a lot more school clients this year than we did last year. We have deeper penetration in school clients. We've added some new school clients. Obviously, the transition of COVID from pandemic to endemic will have a little bit of a headwind for the fourth quarter compared to the fourth quarter of last year. But everything else is going fantastic. I mean, we're just -- we're crushing just about every area in Healthcare. I would say the only impediment to continuing to grow the Healthcare -- and obviously, we're not just focused on the fourth quarter. We're focused on 2023 and 2024. I would say the biggest headwind is obviously getting the people, right? It's an incredibly competitive market to find the people. But we -- our Healthcare group is just exceptionally well with regard to signing people for our clients. We'll probably never be able to find enough, right, because we can pretty much place every quality provider that we find. But they're doing a great job.
Alexander Rygiel : Very helpful. Thanks, very much. 
Operator: All right. Next up in queue, we have Frank Kelly, a private investor. Your line is now open. 
Unidentified Analyst: Good morning, gentlemen. What a great quarter and compliments to the entire team that pulled that together. I have a couple of questions. One, Brad, will actually start out with -- thank you for Brad for acknowledging the long-term significant shareholders that are out there that are kind of hanging on with the company and being patient at that. The second, I know we -- Brad, you talked to us a little bit about capital expenditures and whatnot, the capital program. You talked about organic investment, we talked about buybacks. But what was obviously missing was the addressing of rewarding those shareholders with some sort of return. Is that in the mix? It was noted as missing in your response earlier.
Bradley Vizi : Yeah. No. Third question, Frank. Look, having bought back 25% of the company at this point, I think to the extent that we do introduce a dividend one day, it's reoccurring, and we're able to continue to grow EBITDA and shrink share count. The good news is the dividend is likely to be much bigger when you get it.  So as long as we continue to see a profile that we see and we continue to generate extraordinary returns on capital, I think I mentioned earlier, I think we're in that 50% range at this point. Frank, historically, in my investment career, anytime I found teams that were able to put up numbers like that, I wanted them to keep the capital and potentially add to it. So though we are pretty active with respect to retiring shares, a dividend in the very near future isn't really on the dashboard. But look, that could always change. And again, we talk about it regularly.
Unidentified Analyst: Great. Yeah, I just noticed, I guess, come December, it's been five years since there's been actually any direct return. Obviously, buybacks do affect the price, but an actual return to the shareholders. So if we could just in the future, keep that in mind, that would be great. And it sounds like you're doing that. Kevin, I guess on that -- looking at SG& A Q-over-Q, and it's not much undifferent for year-over-year, I see a 21% increase in SG&A versus a revenue increase of 27%. So I just in the -- at least in the Q and to some degree in the year-over-year, the SG&A seems to be growing significantly higher as a percentage than would be expected for that kind of revenue growth. Could you --
Kevin Miller: You left out the EBITDA growth. Don't we have to show that into the mix?
Unidentified Analyst: No. I think we're just looking at pure SG& A, I know there's a lot buried there. And not only that, but in the -- there were some higher interest numbers, right, for interest payments, which run through there as well that are not necessarily at the same number that are in the current Q, so --
Kevin Miller: Sure. Well, the interest is down because the debt is down, but interest is not included in SG&A. But anyway, I was just needling a little bit on -- I think I can do that. But anyway, no, look. The bottom line for us, Frank, is, and you know as well, is we're incredibly mindful of every dollar that we spend on SG&A.  However, I will say this. If we look across our businesses, all of them, we see incredible opportunities. Every single business is in a market that is exploding, okay? So we are happy to continue to wisely invest SG&A because we know that -- and every decision that we make, obviously, on the SG&A front is not going to turn out the way we expect it to. But most of them do and most of them have, and we need to continue, frankly, to keep growing the company. We're not interested in being a $30 million EBITDA company for very long. We're -- Bradley and I here want to get this to $100 million in EBITDA. and we're not going to do that without increasing SG&A. Simply, we have to increase SG&A to make more EBITDA and to drive the stock price. Now we have to do it wisely, but we absolutely have to invest in SG&A to grow the company. And I think if we look at this company historically, that's an area where we've made some mistakes, where we've been hesitant to make investments. And part of our performance in the past is investing in SG& A. So we're going to -- just to give you a really easy example to understand. And you know this company really well, obviously, other people are listening. We will hire every single recruiter, qualified recruiting that we can find, period. If you came to me with 50 recruits that I could hire tomorrow, I'd hire them, period. And I'm not going to worry about the SG&A increase because I know that if I have 50 recruiters, four of them are going to work out really, really well, and we're going to get an outstanding return on this for your recruiters. And when you look at the investment front, we're continually looking about how we can drive efficiencies in the business through technology. Well, that's going to take short-term investment to get a long-term return. And that's something we're going to continue to do. But be aware that we are very mindful of every dollar that we spend.
Unidentified Analyst: Yeah. Well, that's certainly encouraging to hear. I guess one of the concerns I had was the growth rate of SG&A in this past quarter versus the revenue growth rate because they're -- Yes, we're investing. But at 21 versus 27 rev, maybe close to 28 rev, increase in the SG&A at '21.
Kevin Miller: But you're also -- you really ought to be looking at it on a year-to-date basis. Because Q3 SG&A has a lot of fixed cost in it, and we have a lot of seasonal variability in the revenue and gross profit in Q3, as you know. So if you're going to go through that exercise and look at the growth in SG&A, compared it to the growth in revenue.
Unidentified Analyst: On a year basis.
Bradley Vizi : I'm going to -- I might disagree with both of you. Kevin, what was the operating margin increase year-over-year? 600 basis points, 700 basis points?
Kevin Miller: Yeah. 
Bradley Vizi : So Frank, as long as we increase operating margin at a clip anywhere near that, like we are going to core on SG&A. And I think you're all going to like the outcome.
Unidentified Analyst: Okay. Yeah, because we do see, to Kevin's point, a 54% increase year-over-year on revenue and a 33% increase in the SG&A. So I guess -- and sometimes drill down into specifics of the SG& A and what's in there. But it's something certainly that as long as it's being monitored, historically, we need to do that.
Bradley Vizi : Appreciate -- definitely appreciate the feedback, and you've always been a great thought partner on a couple of topics. This being one of them, Frank. Thank you. 
Unidentified Analyst: Again, great quarter. And certainly, without the seasonality anomaly in the third quarter, we're looking at -- hopefully, looking at an absolutely outstanding 4Q.
Operator: [Operator Instructions] At this time, I'm seeing no further questions in queue. 
Bradley Vizi : Thank you for attending RCM's third quarter conference call. We look forward to our next update in 2023.
Operator: All right. Ladies and gentlemen, it looks like that concludes your call. You may now disconnect your lines, and thank you again for joining us today.